Operator: Good morning, everyone, and welcome to the National Bank Holdings Corporation 2012 third quarter earnings call. My name is Brent, and I will be your operator for today. At this time, all participant lines are in a listen-only mode. We will conduct a question-and-answer session following the presentation. As a reminder, this conference is being recorded for replay purposes. I would like to remind you that this conference call will contain forward-looking statements, including statements regarding the company’s loans and loan growth, deposits, strategic capital, potential income streams, gross margin, taxes, and non-interest expense. Our total results could differ materially from those discussed today. These forward-looking statements are subject to risks and uncertainties, and they are disclosed in more detail in the company’s most recent filings with the U.S. Security and Exchange Commission. These statements speak only as of the date of this call and National Bank Holdings Corporation undertakes no obligation to update or revise the statements. It’s now my pleasure to turn the call over and introduce National Bank Holdings Corporation President and Chief Executive Officer Mr. Tim Laney.
G. Timothy Laney – President, CEO: Thank you, Brent. Good morning, and welcome to National Bank Holdings first public earnings call. This morning I am joined by our Chief Financial Officer, Brian Lilly, and our Chief Risk Officer, Rick Newfield. Brian is going to be covering our operating results for the third quarter in detail, so I’ll quickly cover some highlights. During the third quarter, we were pleased to achieve a key corporate milestone with the completion of our IPO and listing on the New York Stock Exchange. Adjusting earnings for one-time expenses related to the IPO, we produced net-income in the third quarter of $0.06 per share versus $0.05 per share in the second quarter. During the third quarter, we also successfully integrated our last acquisition onto our single bank operating platform. We grew our organic loan production for the seventh consecutive quarter, and we lowered out cost-of-deposits other 10 bases points. Before turning you over to Brian, I am pleased to report that our Board has approved both the Dividend Program for our shareholders, as well as a Share Repurchase Program. Brian?
Brian F. Lilly – CFO: Thank you Tim, and good morning to everyone. As Tim shared, we earned and adjusted net-income of 2.9 million in the third quarter, which equaled $0.06 per diluted share. It was good to continue quarterly progress towards our long-term financial goals. On an adjusted basis, the return on tangible assets equaled 34 bases points. But in the loan portfolio we realized two key goals during the quarter with the growth of the strategic loans outstanding’s, and secondly the decrease of the non-strategic loans while maximizing returns. Strategic loans grew 40 million or 15% annualized to end the quarter at 1.1 billion, representing 56% of total loans outstanding. The increase was driven by organic loan growth, as we increased production for the seventh consecutive quarter to 128 million with all loan categories showing increased production. It is great to have the progress, but as we have shared, we have the capacity and are focused on doubling this quarterly total. The credit quality of the strategic portfolio continues to be excellent with only .04% as non-performing loans. The non-strategic loan portfolio decreased 85 million to end the quarter at 852 million. The decrease reflects our strategy of exiting adversely rated and other non-strategic clients. We have reduced this portfolio 28%, or approximately 9% quarterly since the first of the year. And excellent indicator of our focus on maximizing the returns on these credits is the additional pickup in the accretible yield, both in the quarter and like to date. We continue to make progress with our strategy of growing transaction deposits, which now represents 55% of total deposits. A 10 percentage point improvement from the 45% at year-end. The important client relationship category of average non-interest bearing demand deposits grew 8.5% annualized, as we added client relationships and realized higher deposits per account. The average time deposits decreased 235 million during the quarter as we continued our strategy of only retaining those acquired clients that were interested in developing a banking relationship (audio problems) timed deposits. Recall that we acquired (audio problems) Hopefully, retaining approximately 62% of these balances. Our strategies worked to decrease our cost of deposits 10 bases points from the second quarter to .59% in the third quarter. That interest income for the third quarter totaled 49.5 million, decreasing 2.4 million or 4.7% from the prior quarter. The decrease was primarily driven by a 3.8% reduction in the average earning assets, as we successfully exited non-strategic loans and slightly reduced the investment portfolio. In addition, the third quarter’s net-interest margin equal 3.92% representing a narrowing of 8 bases points from the prior quarter. The narrowing of the margin was primarily due to lower reinvestment yields for the investment portfolio coupled with the decrease in the yield for the non-3/10/30 loans as we received fewer pre-payments during the quarter, thereby decreasing the accelerator recognition of acquisition discounts. Credit quality continues to trend favorably. As you know, we believe that it is best to understand our credit quality, and the provision for loan losses along the loan portfolios of 3/10/30 acquired loan pool accounting and all other loans labeled as non-3/10/30 loans. We completed the quarterly re-measurement process for the 3/10/30 acquired loan pools, and picked up net economic value of 11.1 million. The improved cash flow forecast of the 3/10/10 loans resulted in a favorable net transfer to accretable yield of 14.8 million. Our only recording through the provision for loan losses impairment of 3.7 million. The favorable third quarter results brings the [inaudible] to date net increase in the economic value of the 3/10/30 loans to 61.7 million. The non 3/10/30 loans also experienced positive credit quality trends. These loans are primarily comprised of acquired non 3/10/30 loans, as well as all originated loans. Within this portfolio, the non-performing loans improved to 3.9% at quarter end versus the 5.4% at the end of the second quarter. The non-accrual loan component of this ratio is relatively stable with the prior quarter at 2.3%. The improvement was driven by a reduction in the accruing TDR’s, as we exited two large commercial real estate credits. That annualized charge-offs for the non 3/10/30 loans were 51 bases points for the third quarter. The allowance for loan losses attributed to the non 3/10/30 loans was 1.07% as of September 30th, as the provision for loan losses of 1.6 million [inaudible] charge-offs and provided for loan growth. Within non-interest income we were pleased with service charge and bank fee income growth over the second quarter of 12% annualized. Some of his growth is seasonal, but the underlying trends in client acquisition have been positive. The other FDIC loss share income line item provided the largest quarterly variants, decreasing 2.6 million from the second quarter. This line item reflects that FDIC sharing of covered expenses, gains/losses on covered OREO and changes to the call back liability. The primary driver of the variance was a fair value charge to increase the FDIC call back liability 1.9 million due to the favorable actual and project loss experience on the covered assets. Operating expenses were flat quarter-to-quarter after adjusting from the IPO related cost, and the problem loan in OREO cost variances. As you know, the cost associated with the process of problem asset resolution will fluctuate depending on the timing of problem loans and OREO exits. We continue to see opportunities to lower expenses in the long-run. Not just problem asset expenses, but also professional fees. These two categories accounted for 8.4 million of the third quarter expenses, and 27.4 million for the first nine months of 2012. Capital ratios remain strong, improving slightly from the second quarter. Given the slight decrease in total assets, we now have approximately 375 million of strategic capital to deploy. The tangible book value per share ended the quarter at $19.30, increasing over the second quarter. And we are very proud to have grown tangible book value per share since the beginning of operations while building the franchise. A common [inaudible] in the industry is to add the value of the accretable yield to the tangible book value per share. The value of the September 30th accretable yield balance on the 3/10/30 loans of 149 million would add $1.73 after tax in the tangible book value per share. A more conservative methodology that we use, values the excess yield and then considers a timing of the accretable interest income recognition over time. Under this more conservative methodology the value of the accretable yield would add $0.56 to our tangible book value per share, or $19.86. I am very pleased to share with the board – that the board has approved on Wednesday the initiation of a $0.05 quarterly dividend. As we have indicated, we intend to target a payout ratio of 25% over time. In addition, our board approved 25 million for share repurchases to potentially take advantage of the market valuations of our share price. It is important to keep in mind, that we are very committed to deploying our excess capital and growth initiatives, but occasionally the market may present opportunities to add to shareholder value through share buybacks at prices discounted to tangible book value. Let me add one last point for your modeling. The tax rate in the third quarter was impacted by the non-tax deductible nature of the IPO expenses, but the adjusted results reflected a 39.2% tax rate which was consistent with the first six months. Tim that concludes my comments.
G. Timothy Laney – President, CEO: Thanks Brian. Looking ahead, we remain very optimistic about our opportunity to deploy capital and its strategic acquisitions. Our pipeline of opportunities is both attractive and (actionable), as demonstrated by our track record, we’ll remain focused on executing discipline acquisitions, in our target markets that create meaningful value for our shareholders. We remain very positive on the markets where we do business. They continue to outperform the national averages, and we’re well positioned to capture our fair share in these markets. Each week we make progress toward realizing the full potential of our existing banking center network, and our commercial banking themes. We now have the capacity to generate over one billion dollars of annual loan funding’s, and we’re encouraged by our progress toward that potential here in the third quarter. We are also pleased by the growth of non-interest bearing deposits and the improvement in banking fees, both which demonstrate progress toward realizing the full potential of our company and the markets where we operate. Brent, I’ll pause here, and ask you to poll our listeners for questions.
Operator: (Operator instructions). Your first question comes from the line of Brian Zabora, you line is now open.
Brian Zabora – Stifel Nicolaus: Good morning.
G. Timothy Laney – President, CEO: Good morning, Brian.
Brian Zabora – Stifel Nicolaus: A question on your loan production – give us a sense of where the split was between your Colorado and Kansas City footprints?
G. Timothy Laney – President, CEO: The – it certainly is dominated by the Kansas City – we call it about 2/3, 1/3, but the good news from that is as we shared for the first six months, Colorado is just going through the integrations, and wasn’t producing, really, covering it’s [inaudible] in production. For the quarter, it was able to cover the run off with reproduction, and it’s good to see the baring of the proof of the investments that we made in that portfolio, and certainly there is more to come. On a month-to-month basis, Brian, if you compare first year performance of our Colorado relations to first year operations in Kansas City, Colorado is actually ramping up faster than what we saw in the first year of Bank Midwest, or [inaudible], our Missouri operations – so, we’re encouraged there. 
Brian Zabora – Stifel Nicolaus: Great, and then this question on expenses – so, occupancy was up a bit in the quarter, is that a good run rate, or was – is there anything involved in the transition as far as, you know, putting everything onto one platform as far as any cost in that line? 
G. Timothy Laney – President, CEO: The third quarter is beginning to be a better run rate as with what you saw with the first six months and nine months with some settling with some settling with the FDIC to get those all assets and all of those pieces in place. So, you will see the third quarter more of a run rate. 
Brian Zabora – Stifel Nicolaus: Great, thanks for taking my questions. 
G. Timothy Laney – President, CEO: Thank you, Brian.
Operator: Your next question comes from the line of Matt Olney from Stephens, your line is now open.
Matt Olney – Stephens: Hey, good morning guys. 
G. Timothy Laney – President, CEO:
 : Hey, Matt.
Brian Lilly - CFO: Hi, Matt.
Matt Olney – Stephens: Hey, on the organic loan growth, it looks like you guys made some good progress on the originations, can you provide some commentary as to [inaudible] initiative, and eventually, where you want to be? And second part of the question is the run off of non-core loans [inaudible] the addition of core loans – how close are we to an inflection point to seeing that offset each other?
G. Timothy Laney - CEO: You want to begin, Brian, and then I’ll pick up and talk about how we see this unfolding? 
Brian F. Lilly - CFO: Well, maybe I’ll start with your second question, Matt. As we’ve talked about that, that’s a 2013 crossover as we see it, we’re aggressively moving the non-strategic loans – you know, know that there’s some time frames with the FDIC that we want to meet, and certainly there is opportunities realize that economic value. We’ve got a great team on the ground here working through those, and so, we are not managing that pace to slow down at all – when you can get rid of a problem loan, do it. The focus is certainly on the new loan production – the first part of your question, and as we’ve shared the pre-cap – the capacity that we have in the company is an excess of $1 billion, and if you just straight line that, it’s over 250 million a quarter. That’s why my comment – you know, we’re really pleased with the 128, and even Tim’s comment, but we have a capacity to get the bigger – that’s really our focus, to get it to that level. You know, and Matt, I would simply add that we break this down into what you might think of micro-segments, or micro-plans, and when all is said and done, what we plan, and what we are going for, and ramping up to is a very reasonable target of $4 million a year in the annual average production per banking center, and average annual loan production of approximately $50 million per commercial banker. As you know, we have roughly 100 banking centers, we have roughly 50 relationship managers, and what we are monitoring is the progress towards those average targets, and if you do very simple math, that will show you that we’ll position to actually – eventually move even beyond the $1 million of production. When you think about our strategic loan portfolio, which we intend to grow with client relationships, and really the acquired troubled portfolio – troubled loan portfolio – we very much think of as an investment portfolio, a deeply discounted portfolio that we’ve manage for yield and return, and really what we’ve modeled and looked at is a three year period where we have the benefit of the credible yield almost as Air [inaudible] provided revenue and income while we ramp up this organic loan production over this next one to three years, and again, that’s why we’re so intensely focused on that quarter-to-quarter ramp up in production, because long story short, moving to approximately $1 billion in annual production is really the magic number. Of course that requires us to continue to be very focused on bringing down our cost of deposits, which we’re doing, managing our expenses, which we are very focused on, and then that’s where you start to put this company into a position to provide very attractive returns for shareholders. 
Matt Olney - Stephens: Okay, that’s very helpful, and then secondly, can you just remind us where you are in the hiring process of commercial lenders today versus where you ultimately will be?
Brian F. Lilly - CFO: Yes, you know, the good news is we’ve got the 50 bankers in our run rate today. I will tell you that, you know, we continue to work with those bankers to insure that we’ve got the best possible bankers on the ground. We have been building out some specialties that take advantage of opportunities in the markets where we do business – two good examples would be agriculture and energy. And while we have caps on how much exposure – loan exposure, we will permit for any sector when we begin to look at a specialized energy like energy or agriculture, we understand that if we’re going to be successful in those industries, we have to have specialized bankers that understand that space, and so that has – the implication has been that we have replaced a number of our general bankers with specialty bankers, and you could expect some of that to continue, but the good news is that we’ve got the number of bankers we need to hit these production levels in our existing run rates. 
Matt Olney - Stephens: Thank you.
Operator: Again, (Operator instruction), your next question comes from the line of Christopher McGratty from KBW.
G. Timothy Laney – President, CEO: Good morning.
Operator: Your line is open.
Christopher McGratty – KBW:
Brian F. Lilly - CFO: We – the 62% is primarily going back into CDs, although some of that is making its way into money market accounts, and our incremental rate though of bringing CDs on is currently about 50 BIPs, actually just a hair below that on a monthly basis when you weigh out the maturity [inaudible] we have out there.
Christopher McGratty – KBW: Okay, thanks, and now that the IPO process is behind you, have you noticed any changes in your conversations with potential [inaudible] targets? 
G. Timothy Laney – President, CEO: Look, I can tell you within a week of having closed up the IPO process, we have reengaged in conversations and diligence with a number of potential [inaudible] partners, and I can tell you that, quite frankly, that I am where our stock process trading. It doesn’t represent the kind of currency that we’re excited about using in a transaction, so the conversations are very much focused on the idea of a partnership, the idea of doing something together with a resulting company creating values that would create the low one win for both the buyer and the seller. 
Christopher McGratty – KBW: Thanks, Tim, and then just last one that I had, can you guys remind us of your financial targets for MNA transactions – just, you know, how you are thinking about EPS secretion versus IRs, versus tangible failure earn backs? 
G. Timothy Laney – President, CEO: You know, every situation is unique. I think it’s important to begin with the point that we are intentionally focused on transactions that would be strategic in nature, complimentary to our existing markets, it would help us continue to build franchise value in the two areas where we do business, and we tend to look at that three to four payback range as a reasonable range in this market for making the light transaction happen, and again, I think all that you have to do is look at our history and discipline around structuring deals that create attractive returns. We still think the market offers up those kind of opportunities, and you know, just as a reference point, as we speak today, in our two markets, we have a combined 36 institutions with Texas ratios greater than 100% that represent total assets of just under $20 billion, and we believe those represent very interesting opportunities, and again, we believe there are also a number of unique open bank transactions that would be extraordinarily complementary if we could structure an arrangement that truly represented a partnership in the way we think about creating long term value. 
Christopher McGratty – KBW: Great, thanks for taking my questions. 
G. Timothy Laney – President, CEO: You bet.
Operator: Your next question comes from the line of Peyton Green from Sterne Agee, you line is now open.
Peyton Green – Sterne Agee: Yes, good morning. 
G. Timothy Laney – President, CEO: Hey, how you doing, Peyton?
Peyton Green – Sterne Agee: I was just wondering if you could comment a little bit, I know on the strategic loan growth at the agricultural and residential were particularly strong again, but the CNI and CRE were still negative. Can you talk maybe a little bit about the production of those two segments relative to the agricultural and the residential, and when you would expect them to get a little bit more momentum?
Brian F. Lilly: Well, that clearly is the focus, Peyton, we’ve had great traction out of the residential real estate, you’ve heard our – as we’ve talked about 15 is the new 30, and the ability for our banking centers to attract customers and bring re-fillers in on the refinancing, which continues to have little [inaudible], but as you see the commercial and the related is where our opportunity is, and the Kansas City market is picking up and we see tremendous opportunity to the Colorado markets, and that’s really the commercial bankers getting the products that – getting the activity that we want. We have nice pipeline that are building that are getting us to our levels, and it was good to see that we have doubled really the production in the last [inaudible], but not nearly where we need to be, and that’s what is going to get us to that 250 by quarter that Tim was talking about.
G. Timothy Laney – President, CEO: Peyton, you know, I – and I think you can, or Brian can speak to it if you can’t see it, but we’ve continued to be very disciplined in our course CNI business around protecting the balance sheet. We refuse to fall trap to pursuing business on loose terms of pricing that we don’t think would represent attractive terms for the company. And we – you know, we will pace ourselves accordingly. We’re simply not going to fall into the game of chasing volume for the sake of chasing volume. I will tell you we track over the course of each year our production by segment, and what I can tell you that excites me, is that our three highest segments of loan production in the CNI space are in this order – number one, frankly, the 250,000 – and these are small businesses, obviously – loans of 250,000 or less. Then, 250 to $1 million total exposure, and then our real sweet spot is that $1 to $5 million loan relationship, and our total exposure relationship – and quite frankly, we feel good about that, and what I keep coming back to is the markets where we do business. I don’t think anyone expects us to be superstars, but what we believe is that we can capture our fair share of these markets, and these markets offer up more than enough opportunity to reach that $1 billion production level, but do it in a way that is safe, sound, and generates reasonable returns for our investors. 
Peyton Green – Sterne Agee: Okay, and then just one follow up – on the agricultural related, is that all land based, or does that include some food service related?
G. Timothy Laney – President, CEO: That’s a great question, Rick, do you want to - our Chief Risk Officer, Rick Newfield.
Rick U. Newfield - CFO: Good morning, Peyton, that’s really a combination of crop livestock, and underlying agricultural land, and actually probably and equipment, and probably more balanced outside of land at this point.
Peyton Green – Sterne Agee: Okay, great, thank you very much for taking my questions.
G. Timothy Laney – President, CEO: Thank you.
Operator: Your next question comes from the Line of Matt Olney from Stephens, you line is now open.
Matt Olney – Stephens: Hey, just a quick housekeeping question for Brian. That $1.7 million impact on the non-IPO related stock compensation, can you remind us what that is, and will that continue to impact poor results in the future?
Brian F. Lilly - CFO: I’m sorry, I missed the first part – you said, 1.7…
Peyton Green – Sterne Agee:
Brian F. Lilly - CFO: Oh, you’re talking about the difference between the 4.9 and the 6.6 for the quarter in our stock compensation expense. Yes, that would be our normal amortization on a monthly basis, and we typically run about $700,000 to a little bit less than that on a monthly basis for the amortization of the stock comp expense, and that would be our normal reoccurring level. 
Matt Olney – Stephens: Okay, great, thanks Brian.
Operator: Thank you, and I am showing that there are no further questions at this time. I will turn the call back to Mr. Tim Laney for his closing remarks.
G. Timothy Laney: Thanks, Brett. Well, again, hey, thank you for joining us for our inaugural public company earnings call, we appreciate your questions, your time, and have a good day.